Operator: Good day and thank you for standing by. Welcome to the Kadant Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Michael McKenney, Executive Vice President and Chief Financial Officer. Please go ahead.
Michael McKenney: Thank you, Amy. Good morning everyone and welcome to Kadant's Third Quarter 2023 Earnings Call. With me on the call today is Jeff Powell, our President and Chief Executive Officer. Before we begin, let me read our Safe Harbor statement. Various remarks that we may make today, like Kadant's future plans and expectations, financial and operating results and prospects are forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risks and uncertainties that may cause our actual results to differ materially from these forward-looking statements as a result of various important factors, including those outlined at the beginning of our slide presentation and those discussed under the heading Risk Factors in our Annual Report on Form 10-K for the fiscal year ended December 31, 2022, and subsequent filings with the Securities and Exchange Commission. In addition, any forward-looking statements we make during this webcast represent our views and estimates only as of today. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our views or estimates change. During this webcast, we will refer to some non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is contained in our third quarter earnings press release and the slides presented on the webcast and discussed in the conference call, which are available in the Investors section of our website at www.kadant.com. Finally, I want to note that when we refer to GAAP earnings per share or EPS and adjusted EPS on this call, we are referring to each of these measures as calculated on a diluted basis. With that, I'll turn the call over to Jeff Powell, who will give you an update on Kadant's business and future prospects. Following Jeff's remarks, I'll give an overview of our financial results for the quarter and we will then have a Q&A session. Jeff?
Jeffrey Powell: Thanks, Mike. Hello everyone. Thank you for joining us this morning to review our third quarter results and discuss our outlook for the remainder of the year. I'll begin by reviewing our operational highlights. The third quarter was another record-setting performance, benefiting from a combination of excellent execution across our operating segments and stronger-than-expected aftermarket parts revenue. This will add to near-record revenue and record adjusted EBITDA, record adjusted EBITDA margin and record adjusted EPS in the third quarter. As has been the case throughout 2023, our operations teams around the globe delivered exceptional value for our customers in the most recent quarter, leading to excellent performance across our key financial metrics. I want to thank them for their outstanding work and the results they generated, not only in the third quarter, but throughout the year. Turning next to Slide 6, I'd like to review our Q3 financial performance. As you can see on the slide, our Q3 performance was notably higher across most key metrics compared to Q3 of last year. Revenue was up 9% compared to the third quarter of 2022 to $244 million and benefited from record capital shipments and strong aftermarket parts business. Solid execution contributed to our record adjusted EBITDA of $53 million and a record EBITDA margin of 21.6%. All our operating segments delivered excellent adjusted EBITDA margin performance. Cash flows from operations and free cash flow were outstanding in the third quarter at $47 million and $38 million respectively, demonstrating the strength of our business model. As anticipated, bookings softened from the record-setting pace earlier this year and were essentially flat compared to the prior period. I'll review the performance of our operating segments next beginning with our Flow Control segment. Capital project activity and solid aftermarket demand contributed revenue growth in our Flow Control segment, up 5% compared to Q3 of last year. Bookings were $83 million, down 2% due to weaker capital bookings compared to the prior period. Aftermarket parts bookings were up slightly in the third quarter and represented 71% of total revenue in this segment. Excellent execution in both the commercial and operational areas of the business led to solid adjusted EBITDA, adjusted EBITDA margin of 29.7%. Many end markets in our Flow Control segment remained strong despite the general sluggishness found in the manufacturing sector. We continue to see good levels of project activity and are well-positioned to win new business as these projects move forward, although the timing is somewhat uncertain. In our Industrial Processing segment, revenues were up 9% to $94 million, led by record aftermarket parts business, which made up 60% of our total revenue in Q3. Adjusted EBITDA was up 9% and our adjusted EBITDA margin was excellent at 23.8%. As anticipated, demand slowed in Q3 in response to producers taking market-related downtime. As was the case in our Flow Control segment, capital project activity and interest remained high across all product lines despite the economic headwinds. In our Material Handling segment, we experienced strong demand for both capital equipment and aftermarket parts. Revenue was up 15% to $59 million due to a record capital revenue in the third quarter. All product lines in this segment contributed to this performance. Bookings in this segment were up 17% compared to the same period last year to $56 million. This growth was largely due to increased demand for our high-performance balers used to prepare recycled materials and post-consumer waste for secondary processing. Solid execution helped boost adjusted EBITDA by 33% and adjusted EBITDA margin by 300 basis points compared to the same period last year. While we expect demand to moderate in the near term, we continue to see growing business activity for our bulk material handling equipment and our balers, particularly in North America. As we look ahead to the remainder of 2023, we expect to finish the year with record results. We ended the third quarter with a large backlog and expect fourth quarter demand to be consistent with the prior quarter. Although we are seeing a lot of activity around capital projects, the timing of these projects is uncertain due to macroeconomic headwinds. And finally, our healthy balance sheet and strong cash flow have us well-positioned to pursue new opportunities. With that, I'll pass the call over to Mike for his review of our Q3 financial performance.
Michael McKenney: Thank you, Jeff. I'll start with some key financial metrics from our third quarter. Consolidated gross margins were 43.3% in the third quarter of 2023, up 80 basis points compared to 42.5% in the third quarter of 2022. All our segments contributed to the higher gross margins, especially our Material Handling segment, which was up 340 basis points compared to the third quarter of 2022. Parts and consumables revenue represented 61% of revenue in the third quarter of 2023 compared to 63% in the prior year. SG&A expenses were $57.9 million in the third quarter of 2023, an increase of $4.7 million compared to $53.2 million in the third quarter 2022 and included a $1.1 million increase from the unfavorable effect of foreign currency translation. The remaining increase in SG&A expense is primarily associated with increased compensation expense and outside consulting fees. As a percentage of revenue, SG&A expenses were 23.7% in the third quarters of 2023 and 2022. Our effective tax rate of 25.8% in the third quarter of 2023 was lower than we anticipated, due to discrete tax items. Our GAAP EPS increased 12% to $2.63 in the third quarter compared to $2.35 in the third quarter of 2022, and our adjusted EPS increased 13% to a record $2.69. Our third quarter 2023 adjusted EPS exceeded the high end of our guidance range by $0.40, due primarily to higher revenue in our stock preparation and material handling product lines. In addition, lower selling-related costs and a lower tax rate also contributed to the guidance beat. Adjusted EBITDA increased 10% to a record $52.7 million compared to $47.8 million in the third quarter of 2022, due to strong performance in all our segments, most notably in our Material Handling segment which had near-record revenue and adjusted EBITDA in the quarter. Adjusted EBITDA as a percentage of revenue was a record 21.6% in the third quarter of 2023 compared to 21.3% in the third quarter of 2022. We had our highest quarterly operating cash flow since the fourth quarter of 2021 at $47 million in the third quarter of 2023, up 89% compared to $24.9 million in the third quarter of 2022. We had cash outflows in the first half of the year related to working capital to support our record backlog. In the third quarter, projects were completed and shipped, resulting in a sequential decrease in inventory of $12 million. Overall, working capital was a $5.8 million source of cash in the third quarter of 2023. Free cash flow increased 106% to $38.1 million in the third quarter of 2023 compared to $18.5 million in the third quarter of 2022. We had several notable non-operating uses of cash in the third quarter of 2023. Paid down debt by $25.7 million in the quarter, paid $8.8 million for capital expenditures and paid a $3.4 million dividend on our common stock. I would also note that $2.5 million of the $8.8 million in capital expenditures related to the facility project in China. The facility move has been essentially completed with the remaining capital expenditure of approximately $2 million to $3 million. Let me turn next to our EPS results for the quarter. In the third quarter of 2023, our GAAP EPS was $2.63, and after adding back $0.03 of relocation costs and $0.03 of restructuring and impairment costs, our adjusted EPS was $2.69. The relocation costs relate to the facility project in China and the restructuring and impairment costs relate to the consolidation of one of our smaller manufacturing facilities into a larger facility, both in Europe. In the third quarter of 2022, our GAAP EPS was $2.35, and after adding back $0.02 of acquisition costs and $0.01 of restructuring costs, our adjusted EPS was $2.38. As shown in the chart, the increase of $0.31 in adjusted EPS in the third quarter of 2023 compared to the third quarter of 2022 consists of the following. $0.53 due to higher revenue, $0.13 due to higher gross margins, and $0.01 due to lower tax rate. These increases were partially offset by $0.33 due to higher operating expenses, $0.02 from higher interest expense, and $0.01 from higher weighted average shares outstanding. Collectively included in all the categories I just mentioned was a favorable foreign currency translation effect of $0.03 in the third quarter of 2023 compared to the third quarter of last year. Looking at our liquidity metrics on Slide 15. Our cash conversion days, which we calculate by taking days in receivables plus days in inventory and subtracting days in accounts payable were 138 at the end of the third quarter of 2023, unchanged from the prior quarter. Working capital as a percentage of revenue decreased to 15.4% in the third quarter of 2023 from 16.7% in the second quarter of 2023. Our net debt, that is debt less cash, decreased $36 million or 42% sequentially to $50 million at the end of the third quarter of 2023. We've paid down $70 million of our revolving credit facility debt in 2023, helping to lower our leverage ratio calculated in accordance with our credit agreement to 0.38 at the end of the third quarter of 2023, compared to 0.74 at the end of 2022. Our net interest expense increased $0.2 million to $1.7 million in the third quarter 2023 compared to $1.5 million in the third quarter 2022. We have a strong balance sheet and are well-positioned to take advantage of investment opportunities with our current net debt position of $50 million, current borrowing capacity of $285 million available under our revolving credit facility, and an additional $200 million of uncommitted borrowing capacity. Now turning to our guidance for the fourth quarter and full year 2023. Due to our strong third quarter performance, we are increasing our full-year revenue guidance to $941 million to $949 million, from $925 million to $940 million, and we are increasing our adjusted EPS guidance for the full year to $9.65 to $9.75 from $9.15 to $9.35. The adjusted EPS guidance excludes $0.03 of relocation costs and $0.03 of restructuring and impairment costs. Our revenue guidance for the fourth quarter of 2023 is $222 million to $230 million and our adjusted EPS guidance is $2.02 to $2.12. As always, I'll caution here, there could be some variability in our quarterly results due to several factors, including the variability of order flow and the timing of capital shipments. In addition, other risks that could impact our guidance include Central Bank's policy responses to inflation, geopolitical tensions and softening markets. We continue to anticipate gross margins for 2023 will be 43% to 43.5% with fourth quarter margins projected to be in the mid-42% range as the mix is expected to be more heavily weighted towards capital. We expect our tax rate for the fourth quarter will be approximately 27%. We hope these guidance comments are helpful. And that concludes my review of the financials and I will now turn the call back over to Amy for our Q&A session. Amy?
Operator: [Operator Instructions] Our first question comes from Gary Prestopino with Barrington Research. Your line is open.
Gary Prestopino: Hey, good morning, Jeff and Mike.
Jeffrey Powell: Good morning, Gary.
Gary Prestopino: Could you maybe -- I was trying to write this down as quickly as possible. Could you maybe dwell a little bit into the strength that you saw in Material Handling? And I think you said you were going to see maybe a step-down in demand in Q4. Could you help me out there?
Michael McKenney: Sure. Well, we had very -- we've had very strong performance on the Material Handling front on the -- in regards to bookings and that continued in the third quarter. And I would say, I'd remind you that in the first quarter we had a large order that we booked for that conveying system, the 42-mile-long conveying system, and view -- that is -- you're seeing some of that in revenue in the third quarter, and you're going to see a good portion of that revenue in the fourth quarter. So think on the revenue front, Material Handling performance will be pretty strong. But on the bookings front, I'd say, I'll just -- let me just take a sneak peak here for the fourth quarter. We usually don't get too granular on forecasting bookings, but when I look back to our performance in the fourth quarter of 2022, we had quite a strong quarter on capital bookings and I would anticipate that we'll see that pull back a little bit. So that may cause -- overall that may make Material Handling kind of flattish or down a little bit on the bookings front.
Gary Prestopino: You also, as I wrote down demand for balers that was pretty strong too [Multiple Speakers].
Michael McKenney: Yes, we had a very good strength in the baler business.
Gary Prestopino: Okay. And then the Flow Control, you mentioned good levels of project activity within various segments of the business. Could you maybe elaborate on that a little bit?
Jeffrey Powell: Yeah. So, of course, we're particularly strong -- we are particularly strong in the packaging and paper, but they've also done a great job. That product line Probably has more applications through the general industry than almost any other product we have, and they've grown that side -- that industrial side nicely. So they're particularly strong in the metals. They have -- they are particularly strong in food and tissue, which is a subset of paper, but a lot more stable. And then just general industry. It's amazing how many industries that are out there that use our fluid handling products from solar fields, to windmills, to just all kinds of applications out there. So there is quite a mix of general industry that -- and they are continuing to make good progress in taking their products to new markets. And so, in fact, I'd say that's true through all of Kadant where our largest segment now is what we call general industry. It's our -- biggest of all of our segments. So everybody works hard to try to take their products in new markets, and the fluid handling in particular has a lot of broad applications there.
Gary Prestopino: Okay, thank you.
Operator: One moment for our next question. Our next question comes from Lawrence De Maria with William Blair. Your line is open.
Lawrence De Maria: Hi thanks. Good morning everybody. Hey, first question, you said you expect, I believe, flat backlog for the end of the year. Obviously, you gave your sales guide, implies orders pick up sequentially to 2.20 to 2.30 range. So, I guess, first, what's driving that uptick sequentially, especially if the MH is maybe down a little bit, I guess the other two have to be up. Is there anything specific driving that, because that's good visibility as we move into next year?
Jeffrey Powell: Well, I'd say specific to the fourth quarter, Larry, I'm not sure how you define that. We -- basically the guidance we gave last quarter, we indicated that we expected bookings in the third and fourth quarter to kind of be -- mirror what we saw last year in the third and fourth quarter. So I think -- we think right now it looks like it's going to be relatively flat. I will tell you that when you're dealing in the economy right now with all the puts and takes, it's particularly hard to figure out what demand is, in particular the timing on it, Larry. The customers are being cautious. So looking for more visibility. The Fed today is going to, I guess, make an announcement that may impact their thinking a little bit. So, I would say, these times are more uncertain than we normally see just because of where we are in this economic cycle, and kind of the interest rate environment. But generally speaking, we think that it's going to be fairly flat with last quarter and really with last year.
Lawrence De Maria: That's on the orders, right [Multiple Speakers]
Jeffrey Powell: That's on the orders, yeah.
Lawrence De Maria: Yeah, exactly. And -- okay. That's very helpful. Thank you. And, well, just to clarify there -- and obviously, one would assume that there is much more price -- there is more price in these orders. So is it fair to say that more price and lower volume as we exit the year? Or maybe that's worth discussion, but I think it is.
Jeffrey Powell: Well, as you know, we really work hard to try to contain our cost maximize our value to our customers. There are times and there were times during the last probably 18 months, where we have had to pass some price increases on, because the cost increases were just so significant. But we always work hard to really try to reduce our costs, so that we maximize the value for our customers. Clearly, if you look at our margins they stayed pretty flat, which would tell you that our divisions did a good job of staying in front of the inflationary pressures and we're able to kind of maintain kind of a flat performance, which is what we're shooting for. And so, there is some -- certainly some price increases that have stuck, some input cost has started to come down, but if you look at our margins, it would tell you that we just kind of stay kind of even with what was going on from a cost standpoint.
Lawrence De Maria: Perfect, thank you. And then my other question bigger picture, international paper obviously shutting down large portion, I think 10% of their installed base. So there's some pulp and paper mothballing going on and closures. So can you speak to the direct impact to your business, if you're seeing it yet, how material that could be for 2024? So just kind of help us contextualize some of those bigger events that are happening and drill it down into what it means for your performance as you think about it. Thanks.
Jeffrey Powell: Well, I'll open up on that one very specific to the most -- I'd say most recent IP announcement. When I look across the operation that they're going to be closing there, Kadant isn't doing a lot of business in those mills. Some of that was on the pulp side, not much in the way of activity for us there. On the other -- on the containerboard side, those -- we do business in those mills, but they haven't been very big for us.
Michael McKenney: So we don't -- and of course some of that production will get shifted to their more efficient mills. And so, we don't think that that particular announcement will show up in our numbers in any material way.
Lawrence De Maria: Okay. So we should know really annualize those and think that's going to have a big impact [Multiple Speakers]
Jeffrey Powell: Well, what's going on is, if you look at the cost, the production cost of paper company, especially in the Northwest relative to the cost in other parts of the country and in particular, Southeast, there is a significant difference in their cost. We're talking in some cases hundreds of tonnes -- hundreds of dollars, $200, $300 a tonne difference in production cost. And so, when they -- when you see an announcement in these mills, it's often -- if it's a very old inefficient mill or more likely it's just in a very high-cost area and they've got the ability to move that production down into a low-cost area. And so, what you really need to look at is kind of what the total output is of paper products in the country, because if it's just transitioning from one region to the next we operate in every mill. And so we're likely not to see a big impact from that. If you see tonnage dropping down, now that's a different issue. I mean, for instance, I think packaging boxes this year are down about 7.3% over last year. So we felt that. Obviously, our bookings has slowed down in that area because of that. But when it's just shifting from a higher cost area to a lower cost area, that has less of an impact on us, because we're just -- as they pick up volume in another mill we will benefit in that.
Lawrence De Maria: Well, first, at that point, should we expect either further shutdowns in other areas, or -- and how much do you have a view on tonnage next year as it relates to the specific end market?
Jeffrey Powell: If you look at what the companies that have announced already in the third quarter, I would say the general tone is slightly optimistic that things will -- are improving a little bit, not in a significant way because I think there's still less visibility, but I would -- just if you look at the color that they're giving on their earnings calls, they're hoping they saw a little slight pickup in the third quarter in some cases and they're hoping that there'll be some continued improvement into next year, but I think it's still they'll caution that it's -- as I said earlier, it's still uncertain times, visibility is not great, but they are, I would say, slightly positive that things are going to strengthen a little bit.
Lawrence De Maria: Okay, thank you very much. Appreciate it.
Jeffrey Powell: Yes.
Operator: One moment for our next question. Our next question comes from Aditya Madan with DA Davidson. Your line is open.
Aditya Madan: Hi, good morning, Jeff, Mike, and thanks for taking my questions. Actually, I have a follow-up to that question. So we've seen the North American containerboard sector work through big destocking challenges and volumes seem to be on a better trajectory. But we've also seen curtailment announcements and we are part of a strong market. So how are you seeing those different elements impact parts and consumables demand versus the capital equipment appetite and whether you think that potential inflection in the market could represent inflection for your activity levels with that customer base?
Jeffrey Powell: Well, you're right that there has been two kind of trends or phenomenon happening this year. One is, of course, a slowdown in industrial production. But also there has been a destocking effort going on both with our customers and their customers. When there's uncertain times and the Fed is trying to talk down the economy, everybody tends to destock and try to conserve capital. So there has been some of that. That can go on forever. Our experience in the past says that that happens for a number of quarters. And then as visibility starts to get a little clearer, they -- you'll start to see that destocking stop and then obviously it ultimately reverses and they start to build inventory. And there is a little bit of that going on. I think I've seen some of the companies announce that they're starting to maybe build inventories a little bit. I think it's still too early to know if that's a trend that you're going to see throughout the industry. But, maybe at a minimum, maybe the destocking is kind of hit its bottom, that's certainly our hope that destocking hit its bottom and we'll start to see inventories start to build a little bit. Most of our customers that we talk to think that the first half of next year is still going to be kind of sluggish, and their hope is that the second half of the year is going to -- is going to improve. Many of them are sitting on a lot of money. They've made a lot of money in the last few years and frankly, many of them have equipment that's -- it's run harder -- they ran it very hard the last few years to meet demand and they really need to make some investments, but they're just waiting to see kind of when the economy starts to turn and industries start to drop. So that's kind of the -- what we're currently operating under is the belief that things will probably start out slowly next year and with a little hope will start to improve as the year goes on, certainly in the back half of the year.
Aditya Madan: Great. Yeah, that's good to hear. So, as a follow-up, has the tone in your conversations with customers changed much relative to last quarter and have there been any additional indications regarding customers potentially looking to push out or extend timelines on capital projects?
Jeffrey Powell: Well, that's normally what happens. I think we normally say on most calls that it's unusual for projects to be canceled -- terminated forever, they just get delayed. And I would say, in all the discussions we've had -- with our customers, and there's actually a fair amount that -- of that that occurs once summer is over we kind of -- there is trade shows, industry shows and so we get an opportunity to spend more time with our customers and get a sense of their current thinking. And I would say what we're generally hearing, as I mentioned earlier is, well, we've got the cash to make investments, we have some older equipment that we know we need to make some investments in, but we just want to just get a little better sense of where we are in this economic cycle. Have we bottomed out, is there a recession still to occur and what's going to go on with interest rates? So they are all taking a wait-and-see attitude. But obviously, every quarter that goes by without a downturn or without a technical recession and interest and inflation continues to moderate, I think they are -- they become more and more hopeful that we're going to get through this without a true recession and things will start to turn around. But it's -- right now, it's a very challenging time. We'll see what their Chairman Powell says today, I think.
Aditya Madan: Yeah, I think we all are looking forward to that. So let's see what he has to say. And just lastly on capital allocation, just -- I'm just curious on the M&A pipeline and how you're thinking about M&A versus share repurchases.
Jeffrey Powell: So I mentioned I think through the last couple of quarters that our corporate development group is probably as busy as they've been in many years. There was clearly a slow period kind of during the pandemic and after the pandemic. But this year things have been very, very active and, of course, our balance sheet is in very, very good shape. So we're well positioned to pursue these opportunities. And we're hopeful that we're going to find some good fits for the organization, but there is a fair amount of discussions and activities and opportunities out there in the marketplace right now. As far as stock buyback, we haven't done that for many years. We only have found that we can create -- we create more value if we can find good opportunities to bring companies into [Technical Difficulty] into the Kadant family. And so that tends to be where we first focus on capital allocation. It doesn't mean that we wouldn't buy stock back, but certainly, as long as there is good opportunities to acquire companies out there, that's our first priority and focus.
Aditya Madan: Got it. Makes sense. Good luck in the homestretch here guys.
Jeffrey Powell: Thank you.
Michael McKenney: Thank you.
Operator: One moment for our next question. Our next question comes from John Franzreb with Sidoti and Company. Your line is open.
John Franzreb: Good morning, guys, and thanks for taking the questions. I'd like to circle back to what you said about the balers, and maybe a little bit more discussion on the whole recycling market. Are you seeing differences in demand on a regional basis or not?
Jeffrey Powell: Well, I think North America has been particularly strong. But we've also had good -- I would say, really over the last several quarters, maybe year and a half or so, Mike, good -- in Europe, in fact, good. There's been a lot of consolidation into larger and larger recycling facilities in Europe and our machines in Europe are well suited to very large multi-stream machines that are well suited for these big MRFs, these big recycling centers, we are recycling everything. And so we've had good success there. That's a product that gets a fair amount of development and R&D work from an investment standpoint. And we've introduced some new products that have been quite successful in Europe. And also we've brought that product to the US. The acquisition of Balemaster really has helped us start to penetrate the US market with our European technology because we now have the engineering and the service network in America that our customers look for here. And so that's helped us a lot too. So we started to have some good success with that. So it's -- I would say it's broadly based, but in particular, North America, our Balemaster, which makes machines that go into the packaging industry, the distribution centers, the corrugators, they've been quite busy with a lot of demand.
John Franzreb: And in Asia there was once a major migration going there. Is that process certainly over post-COVID? Where did that end up relative to your expectations?
Jeffrey Powell: You're talking about on the balers side or other aspects of the business?
John Franzreb: Other aspects of the recycling business, other aspects of that.
Jeffrey Powell: So, on the stock prep side, which is the technology that recycles packaging and paper, they started to build these facilities, and I think you're referring to these countries in Southeast Asia that really ring China to get around the waste import ban. Yes, I would say that had, I would say, mixed success. As we somewhat expected, a lot of those companies -- or those countries said, well, if you don't want the waste coming into your country, why would you want it coming into ours? And some of the economics didn't work out. And so I would say that's had mix success. They've come to the US and took over facilities, re-fab facilities here, and that's where they're getting some of the fiber, but there's also an emerging kind of recycled fiber market out there that they're able to just buy from and they're doing that too. And, of course, they are also putting in some mechanical pulp mills into China to generate some fiber there. But the -- I would say that the -- your question around where we are in that cycle on those countries that ring China, I would say that's slowed down quite a bit and probably would not be a major growth area going forward.
John Franzreb: Perfect. That's exactly what I'm looking for.
Jeffrey Powell: At least not going in China. It is a growth area for Southeast Asia because of course those countries are still growing well. And so, we are booking orders in those countries for a product that will stay in those countries. But as far as they being a fiber source for Mainland China, I think that's probably not going to be -- it's not going to be a major market.
John Franzreb: Great. And in your prepared remarks, it sounded like you were surprised by the strength of the parts business in the quarter. Did I misinterpret that? And if that was the case, how would you expect the fourth quarter to compare to the third?
Michael McKenney: Yeah, hi, John. We -- I would say, we are very happy with the parts performance, it was quite strong. And as I noted in my call notes that was the lead driver of the revenue beat. So we are -- that helped us out in the quarter to produce the excellent results that we did produce. Looking at the fourth quarter in terms of the parts and consumables front, I think one thing that's a little bit of a unique phenomenon for us is, as we go through the year, the parts bookings are usually their strongest in the first quarter, and then they just kind of slowly step down throughout the year. And I think we'll see that here in the fourth quarter is what I'm anticipating. So I think when you stack it up against the third quarter, it will likely be a little bit weaker, but that would be, I'd say, normal course for us.
John Franzreb: Got it. And you had an excellent free cash flow quarter, in part due to the inventory drawdown. I guess two questions regarding that. Should we expect not as strong of an operating cash flow quarter as you rebuild the inventory for future capital projects? And now that you've completed that facility relocation, how should we think about CapEx in 2024 relative to 2023?
Michael McKenney: Well, I'd say, my hope is we are not done producing excellent cash flows. To your specific point on will we need to rebuild inventory, we had significant backlog in capital, which we've been working down and that's why I made the comment on inventory finally has started to turn and has come down. So to that specific point, I don't think we'll -- that will be an issue for us until we see the next robust buying cycle and the backlog growth. So I don't think that that particular issue is going to be a headwind for us. What was the --
Jeffrey Powell: [indiscernible]
Michael McKenney: So, yeah, the facility project this year, I mean, I give numbers on that every quarter and I think we're going to end up -- of our overall CapEx, maybe $8 million to $9 million will have been for the facility in China. We have fairly robust demand for robotics from our sites. So I think you'll see us continue to make investments. If I back off the -- we had a facility project in China, we have a facility project in our Wood Group in Europe. If I take those out, our CapEx was projected to come in a little over 2%. So I'll say for next year, that's probably where we'll be, in that 2% -- little over 2% range.
John Franzreb: Perfect. That's exactly what I was looking for. I appreciate the clarity, guys.
Michael McKenney: You're welcome, John.
Jeffrey Powell: Thanks, John.
Operator: [Operator Instructions] And I'm showing no further questions at this time. I would now like to turn the conference back to Jeff Powell for closing remarks.
Jeffrey Powell: Thank you, Amy. So before wrapping up the call today, I just want to leave you with a few takeaways. First, 2023 is shaping up to be the best year in our history across a wide range of metrics. We made solid progress this year on our efforts to accelerate revenue growth, win new business and boost our profitability despite the increasingly challenging macroeconomic environment. Our leverage ratio is 0.38, which positions us well to pursue new business opportunities, and as always, we expect to deliver excellent cash flows and optimize the allocation of capital to maximize the value for our shareholders. With that, we'll conclude the call today. And I want to thank you for joining us.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.